Operator: Good day and welcome to the Hospitality Properties Trust Fourth Quarter 2016 Financial Results Conference Call. All participants will be in listen-only mode. [Operator Instructions] After today's presentation, there'll be an opportunity for analysts to ask questions. [Operator Instructions] Please note that this event is being recorded. I would now like to turn the conference over to Katie Strohacker, Senior Director of Investor Relations. Please go ahead.
Katie Strohacker: Thank you. Good morning. On today's call, John Murray, President; and Mark Kleifges, Chief Financial Officer will make a short presentation which will be followed by a question-and-answer session for analysts. Please note that the recording, retransmission and transcription of today's conference call is prohibited without the prior written consent of HPT. I would like to point out that today's conference call contains forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995 and other securities laws. These forward-looking statements are based on HPT's present beliefs and expectations as of today March 1, 2017. The Company undertakes no obligation to revise or publicly release the results of any revision to the forward-looking statements made in today's conference call other than through filings with the Securities and Exchange Commission or SEC. In addition, this call may contain non-GAAP financial measures including normalized funds from operations or normalized FFO. A reconciliation of normalized FFO and adjusted EBITDA to net income as well as components to calculate AFFO are available in our supplemental package found in the Investor Relations section of the Company's website. Actual results may differ materially from those projected in these forward-looking statements. Additional information concerning factors that could cause those differences is contained in our Form 10-K to be filed later today with the SEC and in our supplemental operating and financial data found on our website at www.hptreit.com. Investors are cautioned not to place undue reliance upon any forward-looking statements. And with that, I'll turn the call over to John.
John Murray: Thank you, Katie. Good morning and welcome to our fourth quarter 2016 earnings call. Earlier this morning, we reported fourth quarter normalized FFO of $93.4 million or $0.57 per diluted share, an increase of 5.6% compared to the $0.54 reported in the fourth quarter of 2015. Starting with our travel centers, fourth quarter results for HPT's 198 travel centers reflected reduced diesel fuel volume sold and flat cents per gallon diesel fuel margins versus the comparable 2015 period, resulting in a 4.5% or $3.8 million decrease in fuel margins. TA managed to fuel business well amid rising fuel prices during the quarter, and if you exclude the tax credit in last year's quarter, fourth quarter 2016 fuel margins would have increased relative to the same period last year. Nonfuel gross margin increased $3.8 million led by improvements in the stores, quick service restaurants and repair shops. Property level rent coverage for the quarter was 1.51 times, down from 1.58 times in the 2015 quarter, due to a 5.4% increase in rent to HPT, a result of increased investments. Now turning to our hotel investment, for the year HPT's comparable RevPAR growth of 3.6% exceeded industry average and met operated forecast we discussed last quarter. However, fourth quarter comparable RevPAR growth was only 0.6%. In addition to the seasonality typical of the fourth quarter, certain of our hotel markets were impacted by renovations and accelerating room supply growth. We do citywide events and continued weakness in the energy sector also negatively impacted RevPAR growth. Our operator efforts to push average daily rate and optimize mix coupled with the headwinds I just described caused comparable occupancy to decline this quarter to 70.1%. Despite modest RevPAR growth comparable GOP margins increased 12 basis points versus the 2015 quarter to 38%. Coverage of annual minimum returns and rents at our hotel declined to 0.86 times from 0.92 times in 2015. Our Marriott No. 1 Courtyard portfolio has the weakest revenue growth this quarter with RevPAR decreasing by 1.5%, driven by declines in occupancies and renovations and increased supply. GOP margin percentage splits by 36 basis points. There were six hotels under renovation in the portfolio during the quarter compared to nine in the 2015 quarter. In addition, our hotels in Pittsburgh, Syracuse and Boston have been impacted by supply growth reducing compression night benefits. Fortunately coverage of the Marriott No. 1 agreement remained above one times for the quarter and was 1.37 times for the year. Our Hyatt portfolio RevPAR declined 0.5% year-over-year driven by a 2.6 percentage point in occupancy did offset 2.9% growth in rate. This portfolio also experienced renovation and supply headwinds. Hyatt had eight hotels under renovation this quarter compared to none during the fourth quarter last year. Continued high levels of room supply growth in Austin negatively affected our Hyatt Place, Austin, Hyatt's GOP margin percentage declined by 85 basis points. Carlson results reflected essentially flat occupancy in daily rate versus the year ago quarter. Soft demand at our Carlson Hotels in Phoenix, Seattle and Sunnyvale caused the use of OTA channels to maintain occupancy levels, but at lower rates. Increased supply and hotels in need of a renovation were the primary drivers. Cost in increased GOP margin percentage by 291 basis points and increased cash flow available to pay our return by 12.1% versus the 2015 quarter. Our Sonesta portfolio's comparable fourth quarter RevPAR increased 4.7% and comparable hotel GOP margin percentage improved 152 basis points versus the fourth quarter 2015. Comparable RevPAR growth exceeded industry average driven by Royal Sonesta ES suite hotels and the Royal Sonesta, New Orleans which continue to ramp up from the recent renovation. Energy sector weakness continues to weigh on results at the Royal Sonesta, Houston and Houston, ES Suites. In addition this quarter, the Sonesta Hilton Head was closed for five days to due to Hurricane Matthew and the Sonesta ES Burlington had all the half of its rooms out of service due to a fire. Excluding these four hotels, the 18 Sonesta hotels had completed renovation prior to 2016 at comparable portfolio RevPAR growth of 8.2% and GOP margin percentage was up 350 basis points. Across property types performance was best at a 166 comparable extended stay hotels where RevPAR increased 3.6% and GOP margin improved by 119 basis points, driven by rate as well as occupancy, benefiting from the post renovation ramp up of Royal Sonesta ES suite conversion. Revenue flow through to GOP was a strong 86%. RevPAR at 95 comparable select service hotels was down 1.1% and margins decreased by 28 basis points. Softer select service results were due primarily to our Marriott Courtyard hotels, which had supply growth and renovation issue as well as eight Hyatt Place renovation. RevPAR at 41 comparable full service hotels declined 1.1% with the 1.9% gain in rates offset by 210 basis points decline in efficiency. Full service performance reflects the impact of zika fears in San Juan, weaker performance of the Clift in San Francisco due to Moscone renovation and expansion, and renovations of the Wyndham Hamilton Park and Nashville Airport Marriott. Turning to transaction activity, in early December, we close the previously announced acquisition of an independent full service hotel with 236 rooms located in Milpitas, California for $46 million. HPT converted this hotel to the Sonesta brand and added it to our management agreement with Sonesta. We plan to invest approximately $15 million in renovation of this hotel over the next 12 to 18 months to bring to Sonesta standards. In February, we closed on the previously announced acquisition of Hotel Allegro, a Kimpton Hotel with 483 rooms located in Chicago, Illinois for $85.5 million. We added this hotel to our agreement with Intercontinental and we obtained an additional $6.9 million security deposit for this property. In November, HPT entered into an agreement to acquire a luxury boutique hotel in Seattle, Washington for $71.6 million. This 121 room hotel will be added to our agreement with IHG. We're currently completing diligence on this property. In December, HPT advised Morgans that the closing of its merger with SBE Entertainment Group without HPT's consent was in violation of the Morgans agreement and we filed an action in California for unlawful detainer against Morgans and SBE. We are currently in discussions with Morgans and SBE regarding this matter and are currently pursuing remedies, which may include terminating the Morgans agreement. This hotel represents approximately 1% of portfolio rent of portfolio rents and returns and coverage to 2016 was 1.01 time. Looking to 2017, we and our hotel managers have tempered expectations from last quarter to account for weaker than expected transient room nights and fewer compression nights, as renovation activity, supply growth and energy sector weakness continue to impact occupancy levels and ADR growth. Industry experts now forecast RevPAR growth in the 2.5% range for 2017, just under historic long-term average growth rates. Our managers are projecting that for 2017, we will continue to experience steady occupancy and a more modest level of rate increases, such that RevPAR growth may be 1.5% to 2.5%. GOP margins should hold steady or improve modestly versus 2016. We're continuing to benefit from overall maintained geographically diverse hotel portfolio. I'll now turn the call over to Mark.
Mark Kleifges: Thanks, John. Starting with the performance of our travel center investments, property level operating results for the 2016 fourth quarter improved slightly versus the 2015 quarter. Fuel gross margin decreased $3.8 million or 4.5% versus the prior year quarter. As a result, the 3.7% decline in total gallons sold and the effect of an $8 million biodiesel tax credit that was recognized in the 2015 fourth quarter. TA believes the decline in gallons sold is due primarily to increased fuel efficiency, new competition and some softness in freight volume. Per gallon gross margin was flat year-over-year, but would have been higher not for the prior year tax credit. Our travel centers continue to grow non-fuel revenue and non-fuel gross margin, which increased 0.8% and 1.8% respectively versus the prior year. Non-fuel gross margin totaled $210.9 million in the 2016 fourth quarter and accounted for approximately 72% of the total gross margin of our travel centers during the quarter. Site level operating expenses were well controlled, decreasing 0.5% versus the prior year. As a result of these changes, fourth quarter EBITDA of our travel centers was a $102.6 million or 1% increase compared to the fourth quarter of 2015. Minimum rent under our travel center leases remained well covered at 1.51 times for the seasonably weaker fourth quarter and 1.58 times for the full year. Operating results at our comparable hotels were mixed this quarter with RevPAR up 0.6%, a 12 basis point increase in GOP margin percentage, and a decline in cash flow available to pay HPT’s minimum returns and rents of 4.2%. The 0.6% increase in RevPAR this quarter resulted from ADR growth of 1.9% and a 90 basis point increase in occupancy. The portfolios with the highest RevPAR growth this quarter were our comparable Sonesta Hotels, Marriott 234, and Wyndham portfolios, with increases of 4.7%, 1.5%, and 0.8% respectively versus the prior year quarter. Excluding the Wyndham full service Hamilton Park Hotel which was under renovation during the fourth quarter, RevPAR at this portfolio would have increased by 3.7% versus the prior year quarter. In regards to our Sonesta portfolio, RevPAR was up 37% this quarter at our nine ES hotels that completed renovations in the second and third quarters of 2016. RevPAR increased only 1.9% at our 22 Sonesta hotels renovated prior to 2016 as a result of weak performance of our two Houston hotels due to market conditions. The impact of Hurricane Matthew on our Hilton Head property and out of service rooms at our Burlintgon, Massachusetts ES hotel due to a fire. RevPAR increased 8.2% versus 2015 quarter at the remaining 18 hotels. Our Marriott No. 1 and Hyatt portfolios experienced RevPAR declines of 1.5% and 0.5% respectively versus the prior year quarter, due to a combination of increased supply and demand softness in certain markets as well as the impact of renovations. GOP margin percentages for our comparable hotels increased 12 basis points from the 2015 quarter to 38%. Of our portfolios, Carlson and our comparable Sonesta Hotels had the largest increases in GOP margin in the quarter, up 291 and 152 basis points respectively versus the 2015 quarter; while Wyndham and Hyatt had the weakest margin performance in the quarter with gross operating profit margin percentage down 274, and 85 basis points respectively versus the 2015 quarter. Both portfolios were negatively impacted by renovation activity during the quarter. Gross operating profit for our comparable hotels decreased approximately a $173,000 or 1% from the 2015 quarter. The combined impact of the small decline is growth operating profit in the $4.5 million or 9.4% increase in below the GOP line items, resulted in a $4.7 million or $4.2 million decrease from the 2015 quarter and cash flow available to pay our minimum returns and rents for our comparable hotels. The increase in below the line items were primarily the result of higher real estate taxes and property insurance deductibles, as well as higher FF&E reserve escrows, which are deducted in calculating cash flow available to payout minimum returns and rents. The two portfolios with increases in cash flow were our Carlson and Marriott 234 portfolio, with increases of 12.1% and 1.1% respectively. The two portfolios with the largest percentage declines in cash flow were our Wyndham and comparable Sonesta portfolios with decreases of 16.7% and 13.8 % respectively. Cash flow coverage of our minimum rents and returns decline for six of our nine hotel agreements versus the prior year quarter and portfolio live coverage declined to 0.86 times for this traditionally weaker quarter. Portfolio wide coverage for the year was 1.1 times and this strong performance resulted in net guarantee and security deposit replenishments of $31.2 million during 2016. All but our Sonesta and Wyndham portfolios and our Marriott Kauai hotel were above one times coverage in 2016. Turning to HPT’s consolidated operating results. Normalized FFO was $93.4 million in the 2016 fourth quarter, a 15.2% increase from the 2015 quarter. The increase was due primarily to the minimum rents and returns we earned from our acquisitions and improvement funding since October 1, 2015, and lower incentive business management fees expense realized in 2016. Excluding the impact of incentive business management fee expense from both periods, normalized FFO increased 1.7% to $145.8 million in the 2016 fourth quarter. On a per share basis, fourth quarter 2016 normalized FFO was $0.57, a 5.6% increase from the 2015 fourth quarter. Excluding the impact of incentive business management fee expense from both periods, normalized FFO per share was $0.89 or 6.3% decline from the 2015 fourth quarter, this decline was the result of the 8.4% increase in HPT’s weighted average share count versus the 2015 quarter due to our common share offering in August. Adjusted EBITDA was $137 million in the 2016 fourth quarter, a 10.7% increase from the 2015 quarter. Again excluding the impact of incentive management fee expense from both periods, adjusted EBITDA for the quarter increased 1.8% to $189 million. Our adjusted EBITDA to total fix charges coverage ratio for the quarter was 3.2 times and debt to annualized adjusted EBITDA was 5.8 times at year end. Excluding the impact of incentive business management fee expense, our adjusted EBITDA the total fix charges coverage ratio was 4.5 times and debt to adjusted EBITDA was 4.2 times. Turning to our capital and acquisition commitments, we funded $32.1 million of hotel improvements and $34.6 million of travel center improvements in the fourth quarter. In 2017, we expect to fund $63.2 million of hotel improvements including $32.7 million in the first quarter. We also expect to fund $80.7 million of travel center improvements in 2017 including $20.1 million in the first quarter. We expect to complete the $71.6 million acquisition of the Seattle, Washington hotel during the first quarter and do acquire the one remaining newly developed travel center at a purchase price equal to its development cost not to exceed $29 million in the second quarter. Turning to our balance sheet and recent financing activities, as of year-end our debt to total gross assets was 34.6%. At December 31st we had $10.9 million of cash which excludes $60.5 million of cash escrow for future improvements to our hotels. In January, HPT issued $600 million of senior notes which included $200 million of 4.5% senior notes due in 2023 and $400 million of 4.95% senior notes due in 2027. The net proceeds from these offerings were approximately $594 million. In February, we redeemed at par all $290 million of our 7.125% Series D preferred shares. As of today, we have only $60 million outstanding on our revolving credit facility and no debt maturities until January of 2018. Operator, that concludes our prepared remarks, we're ready to open up the call for questions.
Operator: Thank you. We will now begin our question-and-answer session. [Operator instructions] Our first question comes from Ryan Meliker with Canaccord Genuity. Please go ahead.
Ryan Meliker: I just had a couple of things I wanted to touch on. I think the first thing was you guys obviously have been relatively acquisitive, looks like IHG has been kind of the big winner with you, with the rest of some of these Kimpton properties along with Sonesta. I'm just curious. I know you guys tend to focus on acquisitions where you're able to get your minimum rent, minimum return contracts in place. Is IHG or IHG and Sonesta really the only two companies that are receptive to doing deals like that at this stage or have you seen interest from other parties as well?
John Murray: We have the dialogue with number of our operators. It's a challenge. Our contract is the most secured contract of the lodging REITs and many of the other types of hotel owners, and so if the hotel manager can find the way to grow their business without being as committed and without having as much alignment of interest with its owners then they may choose to go in that direction. We have good relationship obviously with Sonesta because it's a related party, but also with IHG, we've got a very large portfolio. We work strategically together for many, many years now and we both understand how our operations work and how the contracts work, and they are mutually beneficial. So, those have been easiest ones to grow, but I think over the course of this next year, you will see other transactions taking place with other operators in our portfolio. So, I don’t think you should expect only to see growth with IHG and Sonesta, buy you will continue to see probably more growth there than with others.
Ryan Meliker: And then can you give us any color as part of the Addison burn marks with regards to the Milpitas asset and what happened as to why guys decide to walk away?
John Murray: I think there may be some confusion there. We walked away from an acquisition in Dallas and Addison.
Ryan Meliker: Sorry, Addison, not Milpitas, sorry.
John Murray: I don’t want to -- there are confidentiality agreements and the like, it was a result of diligence as probably just the best way to say it. And Milpitas transaction is still going forward.
Ryan Meliker: Yes, right. I've gotten confused, my apologies. And then one other thing I wanted to ask about, with regards to the Morgans litigation over the Clift, is your goal in that litigation to take over control over the asset? Or is your goal something different?
John Murray: I think because of that there is litigation in place and discussions going on between the parties with best that leave that one alone. Those are [Multiple Speaker].
Ryan Meliker: But assuming in the litigation you filed something in terms of what you're seeking in for damages, right?
John Murray: No.
Ryan Meliker: No. Okay, fair enough. And then just real quickly lastly. It looks like, if I look at some of the coverage ratios, the Marriott 2, 3, 4 and the Hyatt properties continue to have relatively narrow coverage and now they're post-renovations. So, I'm just wondering, if there is any concern with regards to those coverage levels and limited corporate guarantees for both those, if and when we hit a downturn that you lend up seeing reduce fees from them?
John Murray: Which were the two portfolios?
Ryan Meliker: I was referring you the Marriott 2, 3, 4 at 1.14 times trailing twelve months coverage and then Hyatt portfolio at 1.16.
John Murray: I think we feel good about both of those. The security under Marriott, as of yearend, we got the limited guarantee of call it $30.7 million as well as about $16.5 million security deposit, that security deposit increased by about $10 million in 2016, as a result of coverage being to both one times. My expectation is that they will continue to build in 2017, and so, I feel good about where we're now in that contract. With respect to Hyatt, we ended up at year end with about 18.3 under that guarantee, that guarantee grew by about $3.6 million during 2016 as a result of cash flow and excess of one-time coverage I would expected to continue, continue to grow during 2017. So, I feel good about where we stand on that portfolio also.
Unidentified Analyst: Okay. That's helpful. And the Sonesta properties, how are those performing that have come out of renovation thus far?
John Murray: I think if you look at -- as I mentioned in the prepared remarks, if you look at the nine hotels, the nine ES hotels where we completed renovations in the second and third quarters of 2016, RevPAR was up 37% at those properties in the first quarter, and we expect them to continue to ramp up in 2017 where performance came in below. I'd say our expectation was on the 22 hotels that were renovated in 2015 or prior and there that portfolio was really negatively impacted by four properties, the two Houston properties, one is the full service hotel in Houston then we've ES in Houston. Due to that market being where it is, our ES hotel in Burlington had a fire in November and as about half the rooms out of service right now. And then our Hilton Head, Sonesta, the impact of Hurricane Matthew. Those four hotels had RevPAR declines of about 24% during the fourth quarter. So, if you kind of back them out and look at the remaining 18 hotels coverage was up year-over-year, RevPAR growth was pretty decent at 8.2%. So, we feel pretty good about that. Looking forward, I think Hurricane Matthew behind us at Hilton Head. Burlington, those rooms are going to be out of service probably until sometime in the second quarter and then Houston is what it is, but the rest of the portfolio should continue to ramp up in '17.
Operator: [Operator Instructions] Our next question comes from Tyler Batory with Janney Capital Markets. Please go ahead.
Tyler Batory: Just a quick question for you of on the travel center improvements. You said $80 million of those in 2017. I think it was maybe a little bit lower than in years past. Can you maybe just talk about what's going on there and maybe how that might trend in the future?
John Murray: I think I just characterized that last year was probably higher than normal. I think we've averaged about 80 million if you kind of exclude 2016, and the decline or the reasons 2016 was higher was just that there were a number of projects going on related to reimaging stores and some things around fuel islands that has been completed for the most part and therefore we're backed down to what I'd call a more typical run rate on capital for the TA properties.
Tyler Batory: Then just as a follow-up on the Wyndham agreements. When you look out towards 2017, do you expect that portfolio to get back to 1-time rent coverage, or do you think it's maybe going to stay below 1-time in 2017?
John Murray: The portfolio was at 0.9 times in '16. It continues to or was impacted in the fourth quarter. We got full service hotel in Huston that had a significant decline in RevPAR and cash flow. And unfortunately, I don’t see that market bouncing back but the year-over-year comps are getting lot easier there. The other things that’s impacting or impacted that portfolio in the fourth quarter was the Florham Park full service hotel was under renovation and that will be an under renovation through the first quarter of '17. So, I think the first quarter was probably weak, but I would expect coverage to get a lot -- it was like I said, it was at 0.9 times coverage in '16, and I would expected to get closer to one-times coverage, not sure we get there to do. The impact of Florham Park in Huston in '17, but it will be close to then it was in '16.
Operator: Our next question comes from Bryan Maher with FBR & Co. Please go ahead.
Bryan Maher: I wanted to drill down a little bit more on Tyler's question on the TA improvement, the 80 million run rate. Are these all improvements that TA is making that you're basically reimbursing them for? Can you give us some examples there as to what those kind of run rate $80 million projects would be? And my guess is that $80 million would increase their rents by $6 million to $7 million, roughly 8%. Or are those items that are kind of CapEx items that you do kind of regularly because you own the properties that you don't get a bump in rent on?
John Murray: Our leases with TA are triple net leases. TA is responsible for all capital. We have certain criteria that we've established. We have the -- TA has the right under the lease to ask us to purchase capital improvements they've made to the properties. We don’t have the obligation to purchase those improvements, but we have the right to do so under the lease. The projects vary by year, but we have certain criteria. We're only going to buy longer live assets from them. So, typically, it's an asset with a seven plus year life. And when we do purchase those assets, the minimum rent under our leases goes up by 8.5% of our purchased price.
Bryan Maher: Can you give me an example of something that they've put to you that you've turned down over the years because if rent's going to go up 8.5%, I can't fathom a situation where you'd be so inclined to turn it down?
John Murray: I don’t know if there is anything we’ve turned down. I think we've established the criteria of what we're interested and purchasing, and that’s what TA presents to it. We're not going to pay -- we're not going to advise, may decide to put new chairs in our restaurant. We're not going to buy the chairs.
Bryan Maher: No, I understand that. They would be stupid to do that and pay 8.5% in perpetuity. That being said, any time they put a capital project to you if they're going to guarantee an 8.5% basic rent increase forever and ever Amen, I don't know why you would turn that down. I look at TA's rent going up to HPT quarter in quarter out. You have to start to wonder what's being done and what's being bought because it's an awful lot of money that's being spent there?
John Murray: Yes, I think the reason that we want to write to turn it down, Brian, is there may be a time where we've a better use for our capital or we have limited access to capital and we don't want to obligation that we have to make those purchases. That's the reason for the flexibility that we built into the lease side. I agree with you that -- as of today, there's no reason we would turn down an opportunity to purchase those improvements.
Bryan Maher: Just a follow-up question. It was said on yesterday's TA call that roughly 90 competitive travel centers were built last year by Pilot Flying J and Loves. And yet TA with you were only involved in a couple, let's say two or three. Do you have thoughts as it relates to the growth of travel centers in the country relative to kind of a lack of growth of new builds in the TA system? Would you like to see them doing more new builds, or are you kind of indifferent?
John Murray: I mean I think we're relatively indifferent. TA has a nationwide footprint. I think they've got distribution in the vast majority of the states. And so, if they decide that they have a spot that they want to fill in along the interstate the benefits there, relationships with fleets or other customers, and we can work with them, we're happy to work with them but we don't feel like there's just any shortcoming in their current distribution network and so we're not pushing them to grow their network and we're not out looking for sites for them; we're focused on hotel investments and when TA comes to us with ideas we consider them.
Operator: Our next question comes from Michael Bellisario with Baird. Please go ahead.
Michael Bellisario: I just wanted to follow up on Bryan's question a little bit on capital allocation and kind of the hotel versus travel center tradeoff. Are you seeing any opportunities to acquire more travel centers, or is that really a case-by-case basis in what TA brings to you? Or is it because the hotel acquisitions that you're underwriting, particularly with IHG, have such good returns? 
John Murray: We're committed to buy one more travel center location that's being developed currently and that'll happen in the first probably in the second quarter. We don't as a rule go out looking for travel center acquisitions as so. If TA comes to us with an opportunity, we consider it. Our acquisition focus is on hotels and we look at opportunities that might work for any of our operators. We had a hotel that we ended up terminating; that was going to be with Carlson, we're going to grow that relationship. We've grown with IHG; we've grown with Sonesta. We continue to look at opportunities with those three as well as other operators in our portfolio and outside of our portfolio. So that's our main focus, but it does come down to whether we can get the kind of contracts that we like and the returns that we feel we need.
Michael Bellisario: Can you remind us of -- I may have missed it -- the acquisition yields on Milpitas, the Allegro in Chicago, and the Seattle too?
John Murray: The transactions with IHG, they are going to pay us an 8% return on our purchase price. The going in cap rate on the Milpitas transaction was a number that would sound high. It was a double digit, going in cap rate based on historic EBITDA, but was a hotel that have been renovated in over 10 years and it needs substantial investment. And $15 million we’re going to invest there as about, equal to about a third, what the purchase price was. So, we're hopeful that we're going to get a return on that 8%, and then gracing over that once the renovations are completed.
Michael Bellisario: Yes. Then just switching gears lastly to Sonesta. What's the path to 1 times coverage, and is the big wild card really just an improvement in Houston?
John Murray: Clearly an improvement in the energy sector would be very, very helpful because there are two hotels in Huston that would -- we have really been suffering. As Mark mentioned earlier and I mentioned that there was a fire in on our hotel room Burlington, Mass, which has historically been a very strong market. Then half of the rooms in that hotel would be out of service for the first half of the year. So, ones hold back online that will help -- excuse me, improvement in the New Orleans market, the Royal Sonesta New Orleans has always been a critical part to that portfolio. It's very successful, very large property. And it goes under renovation for a substantial part of 2016 and it's been ramping up nicely. Following the completion of the renovation, we're hopeful with that that too will help. And sees the ramp up from renovations with our extended state properties should also help. And if you want to answer that Mark.
Mark Kleifges: No, I think you hit on the strong point. I mean the two Houston hotels are about 9% of the total minimum returns under that agreement. So obviously Houston is important and then as John said, New Orleans is still ramping up -- during 2016, it's still ramping up. Post-renovation that’s the largest minimum return amount in that agreement. So, as that hotel continues to ramp in 2017, we should see improvement in the coverage number that for the Sonesta agreement.
Michael Bellisario: And what percentage is New Orleans?
John Murray: It's about call it 12%.
Operator: At this time, we have no further questions, and I would like to conclude the question-and-answer session. I would now like to turn the conference back to John Murray for any closing remarks.
John Murray: Thank you everybody for joining us this morning. Have a good day.